Operator: Good day. And welcome to the B&G Foods Fourth Quarter and Fiscal 2020 Earnings Call. Today’s call is being recorded. You can access detailed financial information on the quarter and full year in the company’s earnings release issued today, which is available at the Investor Relations section of bgfoods.com. Before the company begins its formal remarks, I need to remind everyone that part of the discussion today includes forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer you to the company’s annual report on Form 10-K and subsequent SEC filings for a more detailed discussion of the risks that could impact the company’s future operating results and financial condition. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The company will also be making references on today’s call to the non-GAAP financial measures, adjusted EBITDA, adjusted EBITDA before COVID-19 expense, adjusted net income, adjusted diluted earnings per share, and base business net sales. Reconciliations of these financial measures to the most directly comparable GAAP financial measures are provided in today’s earnings release. David Wenner, the company’s Interim President and Chief Executive Officer, will begin the call with opening remarks and discuss various factors that affected the company’s results, selected business highlights and his thoughts concerning the outlook for fiscal 2020 and beyond. Bruce Wacha, the company’s Chief Financial Officer, will then discuss the company’s financial results for the fourth quarter and fiscal 2020, as well as the company’s perspective on the outlook for 2021. I would now like to turn our conference over to Dave.
David Wenner: Thank you. Good afternoon, everyone. Thank you all for joining us today for our fourth quarter earnings call. It would be a gross understatement to say that 2020 was a year like no other year. COVID-19 brought an incredible amount of suffering, inconvenience, and unfortunately death with it. It’s humbling that our company benefited from such a tragedy, and at the same time it’s a tribute to our employees working in the midst of the pandemic and dealing with their own issues caused by it that we were able to respond as well as we did to the increased needs of consumers as they cope with COVID and the resulting quarantine. Bruce will go through the financial details in a moment. But the headlines for the year are that net sales increased 18.5% to $1.968 billion and adjusted EBITDA increased 19.4% to $361.2 million. This remarkable increase slowed temporarily in the fourth quarter and I will discuss the factors that lead me to use the word temporarily. But first I will turn the call over to Bruce to review the fourth quarter and full year financial results. Bruce?
Bruce Wacha: Thank you, Dave. Good afternoon, everyone. As Dave just discussed, we generated unprecedented financial results during fiscal 2020 delivering company record net sales, adjusted EBITDA, and adjusted diluted earnings per share for the year. We reported net sales of $1.968 billion in fiscal 2020, an increase of $307.5 million or 18.5% compared to the prior year. Fiscal 2020 net sales included approximately $27.8 million in net sales from our acquisition of Crisco. Crisco closed on December 1, 2020, providing us with a full month of net sales. We generated adjusted EBITDA before COVID-19 expenses of $374.8 million in fiscal 2020, an increase of $72.3 million or 23.9%. During 2020, we incurred approximately $13.5 million in incremental COVID-19 costs at our manufacturing facilities, which primarily included temporary enhanced compensation for our manufacturing employees, compensation we continued to pay manufacturing employees while in quarantine, and expenses related to other precautionary health and safety measures. Inclusive of these costs, we reported adjusted EBITDA of $361.2 million, which is an increase of $58.7 million or 19.4% compared to last year. Adjusted EBITDA before COVID-19 expenses as a percentage of net sales was 19% in fiscal 2020. Adjusted EBITDA as a percentage of net sales after including approximately $13.5 million in COVID-19 costs incurred during the year was 18.4%. Adjusted EBITDA as a percentage of net sales was 18.2% in fiscal 2019. We reported net sales of $510.2 million in the fourth quarter, an increase of $40 million or 8.5%. Fourth quarter 2020 net sales included approximately $27.8 million in net sales from our acquisition of Crisco. We generated adjusted EBITDA before COVID-19 expenses of $77.6 million in the fourth quarter, an increase of $8.1 million or 11.7%. During the fourth quarter of fiscal 2020, we incurred approximately $4.3 million in incremental COVID-19 expenses at our manufacturing facilities. As a result, we reported adjusted EBITDA of $73.3 million in the fourth quarter, an increase of $3.8 million or 5.6% from $69.5 million in the prior year period. We reported $2.26 in adjusted diluted earnings per share in fiscal 2020, an increase of $0.62 per share or 37.8% compared to the prior year. We reported $0.35 in adjusted diluted earnings per share in the fourth quarter of fiscal 2020, an increase of $0.07 per share or 25% compared to the prior year. Fiscal 2020 net sales increased by $307.5 million, which included an increase in base business net sales of $244.5 million and an increase in net sales from acquisitions of $63 million. Of the $244.5 million increase in base business net sales, $209.8 million was attributable to increased base business volume. Of the $63 million of net sales from acquisitions, $33.7 million was attributable to an additional seven and one-half months of Clabber Girl net sales in fiscal 2020 and $27.8 million was attributable to one month of Crisco net sales. Fiscal 2020 base business net sales also benefited from $35.8 million in net pricing, inclusive of our spring 2019 list price increase, our 2019 trade spend optimization program, as well as the impact of COVID-19, which resulted in lower than average daily trade promotions during the height of the pandemic. Keep in mind that our pricing calculation also includes an element of favorable mix as we saw less spices in the foodservice channel, which tend to be priced at a lower margin. FX was a drag on net sales of a little bit more than $1 million for the year. We estimate that the extra reporting week in fiscal 2020, which occurred in the third quarter contributed approximately $35 million to our net sales. Leading our brand performance was Green Giant, which reached approximately $639 million in net sales during fiscal 2020, marking an increase of $112.2 million or 21.3% for the year. Green Giant’s outperformance was largely led by shelf-stable with Green Giant’s Le Sueur shelf-stable net sales up by approximately $64.8 million or 39.7% for the year. Green Giant’s shelf-stable had COVID-19 enhanced sales that led to extraordinary performance that began in the second half of March and carried through to the end of the third quarter. As we hit the fourth quarter, we began to manage sales closely through the implementation of certain customer allocations to ensure there we had sufficient product to last us until this summer’s pack [ph] season. As a result, Green Giant’s shelf-stable net sales were flat in the fourth quarter, despite elevated demand and double-digit consumption trends that persists today. Net sales of Green Giant frozen products were up double digits for the year, plus $47.4 million or 13.1%. Among our other larger brands, Cream of Wheat had one of the best performances in fiscal 2020 with net sales up by approximately $12.9 million or 21.6% for the year. Cream of Wheat continued to outperform in the fourth quarter with net sales up by $2.7 million or 16.1% compared to the prior year period. Clabber Girl also had very strong performance as part of what we believe will be a lasting resurgence in baking. Net sales of Clabber Girl products were up by approximately $10.2 million or 18.9% during the comparable period of time that we owned it following the mid-May 2019 acquisition. We have been very pleased with the performance of Clabber Girl business, which generated approximately $97.5 million in net sales during our first full year of ownership compared to our expectations at the time of acquisition of approximately $70 million to $75 million in net sales. Net sales of Clabber Girl were up by approximately $2.5 million or almost 10% in the fourth quarter compared to the year ago period. Net sales of Ortega were also up double digits during fiscal 2020 with an increase of $17.9 million or 12.7% compared to the prior year. Supply chain constraints driven by industry wide taco shell capacity constraints limited the upside for the fourth quarter, and as a result, while our net sales growth was impressive with a $2.5 million increase or 7.3% compared to the prior year period, we could have done much more had we add incremental products. Victoria was also one of the larger gainers in the portfolio, increasing net sales in fiscal 2020 by $11.3 million or 26.4% compared to the prior year. Net sales of Victoria reached nearly $55 million in 2020. While consumption remains strong throughout the year, net sales dropped approximately $0.6 million or 4.7% in the fourth quarter, primarily due to the timing shift of a large promotional event with one of our key club customers that moved from fourth quarter 2019 to third quarter 2020. Net sales of Maple Grove Farms were up by approximately $6.1 million or 8.7%. Impressive performance given that a substantial portion of Maple Grove Farms business is sold through the foodservice channel, which went dark for a significant portion of the year. Fourth quarter performance showed nice improvement as well with net sales up $2.1 million or 12.2%, driven by continued strong consumption trends and an improvement in the foodservice side of the business. Our spices and seasonings, including our legacy brands such as Ac’cent and Dash, and the brands we acquired in 2016 such as Tone’s and Weber were up by $13.9 million or 9.2% for the year. Net sales of spices and seasonings reached $367.7 million in fiscal 2020. The retail side of this business began to show strong momentum by June as more and more Americans began to fully embrace cooking and seasoning their meals at home, a trend which continues in 2021. The foodservice side of the business continues to be down, but it’s slowly improving. In the fourth quarter net sales of our spices and seasonings increased by $2.1 million or 2.4%. Despite the outsize performance for the year, our spices and seasonings could have increased even more, even with the drag from foodservice had we had incremental supply. Among our other larger brands, New York Style had challenges both in foodservice and to a lesser degree in the retail deli aisle. Net sales of New York Style were down $1.8 million, 4.5% for fiscal 2020 compared to the prior year. Gross profit was $481.7 million for fiscal 2020 or 24.5% of net sales. Excluding the negative impact of approximately $5 million of acquisition divestiture related expenses, the amortization of acquisition related inventory fair value step up and non-recurring event expenses included in the cost of goods sold, our gross profit would have been $486.7 million or 24.7% of net sales. Gross profit was $383.1 million for fiscal 2019 or 23.1% of net sales. Excluding the negative impact of approximately $22 million of acquisition divestiture related expenses, amortization of acquisition related inventory fair value step up and non-recurring expenses, including cost of goods sold, our gross profit would have been $405.1 million or 24.4% of net sales. Outside of COVID-19-related expenses, including those described previously at our factories and those from our co-packers, inflation remained somewhat benign throughout a significant portion of 2020. However, we did begin to see inflation starting late in the third quarter and accelerating into the fourth quarter, particularly for freight costs, certain agricultural products, and other ingredient costs and packaging. I will discuss inflation a little bit more in our 2021 outlook. But we expect to see inflationary pressures continue in the coming months and we are working to alleviate these pressures in our 2021 budget. Selling, general and administrative expenses for the year were $186.2 million or 9.5% of net sales. This compares favorably to the prior year as a percentage of net sales, which included $160.7 million in selling, general and administrative expenses or 9.7% of fiscal 2019 net sales. The dollar increase in SG&A was composed of increases in selling expenses of $8.2 million, increases in consumer marketing, investments of $7.7 million, increases of warehousing expenses of $2 million and increases in G&A of $10.7 million, increases in SGA including increases in selling, brokerage and incentive compensation that are tied to increase sales and profitability. These increases were offset in part by a reduction in acquisition divestiture related and non-recurring expenses of $3.1 million. As I mentioned earlier, we generated $374.8 million in adjusted EBITDA before COVID-19 expenses and after the inclusion of $13.5 million in COVID-19 expenses adjusted EBITDA of $361.2 million. This compares to adjusted EBITDA of $302.5 million in 2019. We generated $2.26 in adjusted diluted earnings per share in fiscal 2020, compared to $1.64 per share in 2019. The increase was primarily driven by volumes, including COVID-19 driven demand for our products, as well as the acquisitions of Clabber Girl in mid-May 2019 and Crisco in December of 2020. Adjusted diluted earnings per share were also positively driven by increased adjusted EBITDA margins, despite the impact of COVID-19 costs due to the benefits of our increased sales, as well as lower effective costs of borrowing. We have another strong year for cash, with net cash provided by operating activities of $281.5 million, which more than supported our longstanding dividend policy and helped us reduce our net debt before taking into account debt incurred to finance the Crisco acquisition and our pro forma net leverage. As a reminder, we began the year with net debt the pro forma adjusted EBITDA of approximately 6.12 times. We reached nearly 4.75 times at the end of the third quarter and finished the year with pro forma net debt to adjusted EBITDA before COVID-19 expenses of approximately 5.21 times, which is how our consolidated leverage ratio is calculated for purposes of our credit agreement. Our increase in net cash provided by operating activities allowed us to reduce net debt by approximately $135 million over the course of the year, excluding our acquisition of Crisco. Our 2021 outlet includes an expectation for elevated net sales of our products in the early month, driven by consumption that has remained over 10% higher than pre-pandemic levels on a blended basis across the B&G Foods portfolio for nearly every week of the last 11 months. We don’t expect to exceed our net sales from March, April or May 2020, when there is a surge in sales driven more by pantry loading then by consumption. Our current year is off to a tremendous start, as we have strong expectations for fiscal 2021, especially when compared to 2019. As a result of the challenges faced while trying to forecast COVID-19, we are not able to provide a detailed financial forecast at this time. However, what I can say is that we expect to generate company record net sales of $2.05 billion to $2.1 billion in 2021, inclusive of the full benefit of a full year of the Crisco acquisition. We do expect 2021 to bring us a different set of challenges then we faced in 2020 and these challenges will include a return of inflation across a number of key input costs, including certain agricultural products, packaging and freight, as mentioned earlier. As in prior years, our expectation is that we will manage these costs through a combination of pricing, initiatives and cost savings activities to preserve our margin profile and our cash flows. And now, I will turn the call back over to Dave for further remarks.
David Wenner: Thank you, Bruce. As you can see in those numbers, the great majority of our brands grew in fiscal 2020 substantially because of the dramatic effects of COVID on consumer buying and dining patterns. E-commerce was a growing driver of those trends and we invested during the year to follow consumers as they bought more through various online means and we saw sales through those means of buying grow and return. Although, there’s no precise way to measure this, using IRI and other data sources, we believe that our online sales grew by roughly 150%, albeit from a relatively modest base. We expect that trend to continue in 2021 and are investing further in building out our online presence and to marketing with various retailers on their site so that we can be at the forefront of this new way of selling. Our business also benefited from the low concentration of sales in the foodservice channel versus retail. Before COVID roughly 13% of our net sales were to foodservice customers. In 2020, that number decreased to 9% as foodservice sales softened and retail sales grew. We are seeing modest recovery in the channel and expected to strengthen as the year progresses. But in general declines in brands such as Regina and softness in Wright’s, New York Style and Maple Grove are the result of higher proportion of their sales to foodservice. Several other trends in our business in 2020 are encouraging as we move forward in 2021. Household penetration of B&G Foods brands grew by 900 basis points and the average sale of B&G products per purchase grew by 25%. As we expand our digital capabilities, we are able to track the consumers involved in these trends and invest more specifically and reinforcing their purchases. Our consumption trends consistently showed double-digit increases the place at near or at the top of comparable food companies and those trends continue in 2021. We increased our marketing spending by approximately 20% for the year last year and over 50% in the fourth quarter to reinforce those gains and speak to all consumers about our brands that are driving growth. Despite all the positives, the years’ performance does not reflect the full potential of changes in consumer behavior. We saw serious supply chain capacity issues in the second quarter and third quarter, and we are unable to fully meet demand on brands that offered meal solutions such as Ortega and Bear Creek. Spices and seasoning sales were also affected by manufacturing capacity issues, packaging outages and absenteeism due to COVID related quarantines. Our policy at our -- as our facilities has been to be very aggressive in terms of quarantine employees with pay, who had any type of exposure, that has paid valuable dividends in terms of employee safety, but often left the facilities short-handed and increased our costs. Early on in the fourth quarter we realized that due to crop conditions and co-packer capacity issues, the supply of Green Giant shelf-stable products would not meet the elevated demand we were seeing and place those products on allocation, resulting in relatively flat sales for the quarter. We will not see meaningful relief in this area until the summer when the new crop arrives. Since we took that action we have seen competition take similar action. Not surprising, since we are all affected by a relatively poor crop last fall. Turning to a closer look at the fourth quarter, it would be easy to say that the business returned to a more normal footing, with base business sales up just 2.5%. Frankly, we don’t see it that way. One thing I have remarked on since returning is how closely consumption trends track the actual demand we see in the business. That’s more true now than it was six years ago. As noted earlier, our consumption trends remain very strong. What we saw in the fourth quarter was a relatively soft November and December, and in factory sales do we believe to retailers stocking up late in Q3 in anticipation of strong demand over the holiday season. That demand did not materialize to the extent they anticipated and inventories had to be worked off. At the back end of the quarter, there was a shift in timing of the typically soft sales week at year end. In 2019 that week fell in our financial January, while in fiscal 2020 it fell at the end of December. The effect is easy to illustrate, January 2020, excuse me, 2021 base business sales were up 35%, the year-over-year difference accounting for roughly 5% of fourth quarter net sales. Adjusted EBITDA for the fourth quarter was handicapped by $4.3 million in COVID-related expenses that were not compensated for by increased sales and an additional spend of $4.5 million in marketing. Given that we remain very optimistic about 2021. Our sales continue to be strong, a reflection of the consumption trends and our service levels continue to improve as we add capacity and our workforce strengthens and returns. While we are still experiencing COVID-related expenses, the rate of spending is trending downward and should not be near the $13.5 million costs we saw in the last three quarters of 2020. Our growth through innovation was handicapped in 2020 as retailers cancelled resets and focused on maintaining inventory of existing products. Despite that, the limited launches we managed to do in 2020, combined with incremental sales of 2019 new products accounted for roughly 2% of our net sales or $45 million. The successful items in that group will see further expansion of their distribution in fiscal 2021 and will be joined by new product introductions in a variety of brands with special focus on Green Giant frozen in Ortega products. 2021 will also see a full year of ownership of the iconic Crisco brand, which we acquired on December 1st, and which made significant accretive contributions to our fiscal 2020 results in just one month. We are integrating the brand into our company as we speak and expect to have it fully integrated by the end of the summer. The brand brings with it strong sales reinforced by COVID trends and very attractive margins. The acquisition profile fits our model perfectly in terms of purchase price, financing costs, tax advantages, EBITDA margin and free cash flow from EBITDA. We believe that there are good opportunities for the brand to grow in both new distribution and new products, and we will be working to execute both in 2021. As Bruce mentioned, this year is not without the challenges. We are seeing significant cost pressure on a variety of fronts including transportation, packaging and commodities. Our operations group has done a good job of protecting us where possible, but there is still exposure that we must cover. We plan to do that through a combination of pricing, rationalization of trade programs and an enhanced cost reduction program. We have already taken some of those actions, price increases on the Underwood brand and Green Giant shelf-stable products went into effect last month, more are necessary and will follow. In my opinion cost relief on sell -- some elements of costs such as commodities is uncertain. There will be significant competition for what crops get planted this year and the outcome is in doubt until the harvest this fall. Progress in 2020 that’s well worth noting includes a heightened recognition of the corporate responsibilities of B&G Foods, as we approach the threshold of $2 million -- $2 billion in net sales. The year saw the formation of a new corporate social responsibility committee at the Board of Director level. It’s mission to direct and oversee our efforts to meet our corporate social responsibilities to our employees, customers, communities and other stakeholders. During 2020, we also adopted and published on our website, a new human rights policy and a new environmental health and safety policy. And most recently, we have established an employee directed Diversity, Equity and Inclusion Council to help understand and meet the needs of our employees, while achieving appropriate workforce diversity, equity and inclusion throughout the company. While we have already had efforts in place on these fronts, the company has more completely formalized those efforts and is committed to increasing all of our efforts and investments. When we look at fiscal 2021 and try to estimate how we will perform, I have to admit that it’s a major challenge. The year has started off with very good momentum, but we will soon reach the sales weeks when consumers were loading their pantries in 2020, with everything and anything, and we cannot expect to match those weeks. But as 2020 stabilized in the third quarter and fourth quarter, we saw more of the quote new normal unquote, trends that we think will continue and could support increased sales versus fiscal 2019. There is no doubt that many people will continue to work-from-home for at least part of their workweek. We would like to believe that consumers have discovered or rediscovered the satisfaction of cooking and baking at home, and the savings that they can reap from doing so. We are investing to foster more baking at home in particular, very appropriate since approximately 19% of our sales are in brands that are involved in baking. And we believe that we can retain many of the new customers who have discovered our brands and will market in the traditional way and online to do so. All of that leads us to estimate that we will have base business net sales that will exceed 2019 net sales by approximately 10%. With 11 months of Crisco net sales incremental to that. I wish I could call out fiscal 2021 with more precision than that, but we obviously are in very uncharted waters in many ways. We continue to believe that our shareholders are best served by the operating model that we have had in place since we went public in 2004. Strive for modest organic growth in our base business of well established brands, layer on a larger growth component via creative acquisitions and return a meaningful proportion of free cash flow to shareholders through dividends. This strategy has resulted in a net sales compound annual growth rate of 11% since our IPO in 2004 and an adjusted EBITDA CAGR of 11.9%. Since our IPO, B&G Foods has paid out $1,073 billion in dividends. We believe that we have served our shareholders well by making those payments. On average, over the years dividends have represented approximately 60% of free cash flow. In 2020, that payout ratio was about 54%, lower than normal due to the remarkable surge in operating results. I’d like to conclude with a final shout out to our employees, all of whom have made this company successful in an extremely challenging year, and in particular to the workers who have been on the frontline in our manufacturing facilities, distribution centers and offices on a daily basis, making sure we can supply the food that consumers need. Other workers have made important contributions as well even while working from home, a less than ideal scenario in many cases. Without all of their dedicated efforts, we could not have achieved the records that were set in fiscal 2020 or have begun 2021 with the prospect of another successful year. This concludes our remarks and now we would like to begin the Q&A portion of our call. Operator?
Operator: Thank you. [Operator Instructions] And our first question is from Andrew Lazar with Barclays. Please proceed with your question.
Andrew Lazar: Good afternoon, Dave and Bruce.
David Wenner: Good afternoon, Andrew.
Andrew Lazar: Hi. Maybe to start off, I guess, can you -- are you able to quantify the various buckets to help explain the difference between the very strong double-digit consumption that we have seen through 4Q and the organic sales growth of only about 2.5%. And perhaps more important, it sort of sounds like this was more of a benefit to 3Q, and so I am trying to get a sense if 1Q consumptions you would anticipate to be more in line with shipments, and I’ve just got a follow?
David Wenner: Well, as I tried to say in my remarks, it was a double hit. We definitely had a surge in third quarter of, especially in September, you had very large sales in September, as retailers loaded up, and you had decent sales in October and then the quarter tapered off as they worked down inventory. And I think what they saw was the same as we saw at the 4th of July holiday and the Labor Day holiday. We just didn’t have the surge, the holiday surge that this business usually sees that it was a more tepid holiday season, if you will, in terms of buying these kind of products. And then you had a hit on the back end. There’s always a dead week there after all the holidays, and the retailers are exhausted and they are -- and it’s usually a short shipping week as well. Last -- in 2019, that week wasn’t in the year, it fell in the first week of 2020. This year, it fell in the last week of 2020, and then we saw a very large start to January. And that’s why January base business sales were up 35% because that week just shifted. So, the shipments are there. The timing of the shipments on the front and the back end wasn’t ideal in terms of having a great quarter.
Andrew Lazar: Would you anticipate in the first quarter as a whole, consumption to be more in line with shipments or are there still some things that you know today that would make those to diverge meaningfully?
David Wenner: Well, at the end of two months, I can say, yes. But I have three very large sales weeks at the end of March when COVID really took hold and you had a disproportionate -- way disproportionate. I mean, our typical sales week is $30 million to $35 million in sales. You had $60 million sales weeks at the end of March last year. You are not going to match that this year. But you are going to continue, I think, to be well ahead, double-digit ahead of 2019 sales. So, we definitely see that within -- because 2020 wasn’t super strong in January and February like the rest of the year was, you are seeing us pacing ahead of 2020 as well in the first part of this quarter. But there is, there is a very, very high wall at the end of March that we have to get over somehow.
Andrew Lazar: Yeah. Understood. And then, I guess, maybe this is -- Dave, when you were on the, I guess, I can ask this, because you -- when you were on the Board when the Crisco deal was sort of announced and approved. And I am trying to get a sense if you and the Board sort of viewed this deal as more typical of the sort of asset that B&G likes to acquire, right, ones with strong margins and cash flows even if it’s not necessarily like a growth brand per se or if it was really more of a doubling down on the possibility that some portion of consumers that have come back to brands like Crisco will stick around longer term, which obviously would benefit some other B&G brands as well. I guess, I am trying to get a sense of how much conviction you have on the stickiness of demand and if Crisco was a way to sort of double down on that conviction or if it’s really just more consistent with the type of deals B&G has done historically, and if it’s sticky then that’s just gravy on top of it?
David Wenner: So a little bit of both, I mean, if COVID hadn’t happened and we were looking at Crisco. I think we would have been very attracted to it for the reasons you just said, very good margins, very good free cash flow out of those margins, and an asset deal that gives us tax advantages and a fairly modest purchase multiple, all basics in the B&G formula for acquisitions. Were sales declining? Yes. But we bought any number of brands like that and proved that we can stabilize sales if not grow sales by paying more attention to the brand, so it fits that formula. Now is COVID a bonus, if you will, in terms of buying a brand like this? Absolutely. COVID has reinvigorated the brand and reinvigorated what the brand is used for in terms of cooking and baking, and we think we can hang on to that and are going to work hard as I said in the remarks to really foster. I mean, some of our great brands that are very profitable are things like Clabber Girl & Co and Crisco, and about 20% of our sales are involved in that kind of business. So, it behooves us to go out there and convince consumers and it is fun to bake at home and keep that trend going.
Andrew Lazar: Okay. Maybe one -- I will sneak one last quick one in, I am sorry, just real quick. I can understand why there is a lot of dynamics at play and giving a full year sort of guide at this point. A lot of companies though have chosen and been able to feel confident enough to give sort of a next quarter guide. You are two months into the first quarter. It started off well per your comments. Yes, you have got to a month that still has some volatility associated with the coming up. But I would have thought at least at a minimum you could provide maybe some more particulars around guidance for the first quarter. So is there a reason you guys chose maybe not to do that, is there still some level of uncertainty somewhere that you just don’t have a handle on? I am trying to get a sense of again visibility at this stage. Thank you.
David Wenner: It’s all about the end of March. I mean, we are comfortable. What we are basically saying for the year is we are going to be up about 10% versus 2019 on our base business sales and that the Crisco is incremental to that. Now that’s a best estimate, I won’t use the word guess, but that’s a best estimate and because nobody knows exactly how this is going to play out, but to try and nail down the quarter is very, very challenging given those last few weeks. I think we can tell you that the quarter is off to a very good start and if you compare us to 2019, we are going to be comfortable saying we are going to do much better in 2019. I don’t know that we are going to be able to totally match those last few weeks of sales in 2020.
Andrew Lazar: Yeah. Thank you.
Operator: Our next question is from Tim Perz with Stephens, Inc. Please proceed with your question.
Tim Perz: Thanks for the question, guys. Could you just provide a little bit more detail about how you are thinking about gross margins this year? More specifically just kind of what you expect for inflation and what you are expecting to do from a price mix standpoint? I know you have already announced some of the pricing actions on Green Giant and Ortega, but should we be expecting to see any more of that this year?
David Wenner: Yeah. You will definitely see more of that. We are reviewing all brands and looking at price opportunities and trade opportunities. A lot of times it’s much more efficient to rationalize your trade spending than it is to take price. So everything is on the table, because we see substantial inflation that’s already here in a number of places and I mean brands like Crisco you can see, just go look at what the price of vegetable oil or soybean oil has done in the last number of months and you can see that all of these commodities are ramping up very quickly. And frankly, I don’t expect any relief until the new crop rolls in, but the market will do what the market will do obviously. So we are looking at substantial inflation even with the positions we have taken on a number of things. And we are definitely looking at, yeah, doing what we can in terms of price and trade and cost reduction at the facilities to mitigate that. So I think our gross profits are going to be fairly consistent but it’s going to take some work to do that.
Tim Perz: Okay. And on -- actually on the Crisco business, about how far out have you guys forward bought your edible oil needs and can you talk about how the pricing typically works on your products there, like how long is like the lag between the pass-through, is that pretty formulaic or do you have to go to the retailer to request the price update?
David Wenner: Yeah. Well, I will start with the back-end there. The pricing these days, take 60 days to 90 days and you can push it to 60 days but then you have a bunch of retailers that will just deduct off the invoice until you hit the 90 days. So it’s 90 days. We have already done that work with Crisco and there should be a price increase effective the end of April on Crisco. So as far as the position on oil goes, we have our costs locked in well into the summer right now and hopes that the new crop will take the pricing off of a extraordinary high that it’s at right now.
Tim Perz: Okay. Thanks. I will pass it along.
David Wenner: Thank, Tim.
Operator: Our next question is from Brian Holland with D.A. Davidson. Please proceed with your question.
Brian Holland: Yeah. Thanks. Good evening. I think you have done a better job of getting price during the past than perhaps is realized or appreciated. But this time around, can you cover both cost headwinds and what presumably will be an increasingly promotional environment this year than part? So can you talk about that added layer to maybe the gross to net adjustment next year?
David Wenner: Well, I don’t know, excuse me, I don’t know how much trade will increase in the specific areas where we compete. For instance, a very large brand obviously is Green Giant. The Green Giant shelf-stable business, frankly, I’d be surprised if canned vegetables see any trade promotions in the first half of the year. Nobody has enough inventory to meet demand and other competitors have already announced they are not going to do trade promotions. And there has been some other allocation work done as well just like we did. So it’s crazy to sell your limited inventory at a lower price as fast as you can, because then you don’t have any inventory and there is nothing available until late this summer. So that’s over $600 million in sales with Green Giant that I think the trade promotion activity by and large will be limited on the frozen side and virtually non-existent on the shelf-stable side. So it’s the same story in a number of our other sizable brands. Our Ortega brand, frankly, we don’t. The demand is huge out there. General Mills had announced that they were having trouble supplying. I think they have gotten past a bunch of that. We have supply issues still and we are working hard to increase capacity and meet those demands. Again, it’s crazy to promote in that environment and it will be a while before that all. Seasonings, same thing, I don’t think our competitors have worked -- gotten out of the woods yet in terms of supplying the demand they are seeing. Our supply has been relatively good, but again there are spots where we are having issues, especially from packaging suppliers in getting the containers to do the sales we want to do. So I think if anything, people are going to be retrenching on trade early in the year. And this is -- so I am talking about the business we do, not necessarily every part of the food business and I think there will be limited trade. And that’s the kind of thing we are looking at right now is what -- even where we have product, what is an effective trade promotion and this is an exercise you need to go through every year. What is working, what’s not and why are we spending money where it’s not working. So we will be doing a lot of that and that’s where you get a lot of your effective price increase without again taking a list price increase.
Brian Holland: Yes. Thanks for the color, David, and queuing up my next question. So the prior CEO had more of a marketing background, loosely translates to more brand investment, like, under your stewardship going back several years, B&G prioritized maximizing cash generation. I presume your focus will be the same as it ever was, I think you alluded to that in your prepared remarks. So can you talk about to what extent improving free cash flow at B&G as an opportunity and specifically where they are?
David Wenner: Well, there’s a number of ways to improve cash flow. I mean, if you sell more profitable -- more of the more profitable brands, you can improve your free cash flow and that’s certainly a priority. As far as my background versus my predecessor, I mean, we are not lowering our marketing spend. We increased our marketing spend in 2020. We are going to continue to do that. We are going to continue to rollout new products as the opportunities afford themselves. We haven’t reached the point where retailers are all re-establishing resets and things like that. So that’s early on in the year, that’s still more limited. But improving cash flow, there’s a whole bunch of levers. I mean, with the addition of Crisco, our inventories are going to top out around $0.5 billion of inventory. There’s cash to be had in those inventories and that’s the kind of thing that my background lends itself to is challenging why, why do we have the inventory we have to do the service that we do. Can we continue to do good service with lower inventories? Things like that. Things like what are we doing with CapEx? What are we doing in a variety of expenses? There’s a lot of things that we can do to continue to improve our cash profile, which by the way, isn’t bad. I would say, we have a very good cash generation out of our EBITDA. It can always be better.
Brian Holland: Thanks, Dave, and I will leave it there.
Operator: Our next question is from William Reuter with Bank of America. Please proceed with your question.
William Reuter: Hi. I just have two quick ones or hope that they are relatively quick. Do you know what amount of sales from the fourth quarter would have been, I guess, kind of reduced based upon the supply chain disruption that you experienced, do you have a number for that?
David Wenner: That’s a very hard number tom extract. Partly because, if you were able to ship a full order this week, would you see the same size order next week, where when you don’t ship a full order, you get a bigger order next week because you didn’t ship it the prior week. So it’s a very hard number to extract. Yeah, I won’t to even guess at it, I am sorry.
Bruce Wacha: It’s a real number, but hard to put on it.
David Wenner: All I know is things like Ortega only grew 12% for the year. I think Ortega could have been double that had we had the supply easily.
Bruce Wacha: Yeah. And Green Giant is another one where applying…
David Wenner: Green Giant…
Bruce Wacha: …you didn’t have enough product.
David Wenner: Green Giant we were seeing very significant increases in sales in second quarter and third quarter, and fourth quarter was flat because we put customers on allocation. So that’s the kind of thing…
William Reuter: Yeah. Okay. My second question is, do you have a mid-point of expectations in terms of inflation for this year based upon your outlook or do you have a range that you could say we think cost of goods sold will be up between X and Y percent?
David Wenner: No. Again that’s very hard to do. You are seeing cost increases that we hope are somewhat temporary for the first half of the year. It’s a matter of how much we -- how much can we reduce costs in our manufacturing and in our distribution. That would all come out of inventory to offset the cost savings. So I can’t nail down what the net effect would be.
Bruce Wacha: Part of this is operating in the world of COVID. It just makes some of these things so much more challenging right now. But as Dave said, the point is to cover these costs with price increases both list, trade and cost savings.
William Reuter: All right. Okay. All right. Just thought I’d try. Thanks a lot.
David Wenner: Yeah. Good try. Hey, Operator, I am assuming there are no more questions, is that correct? Hello. We lost the line.
Bruce Wacha: All right. Chemoli, are you still there?
David Wenner: Yeah. Are we still on?
Operator: I apologize there were technical difficulties. If we can continue, our next question is from Ken Zaslow with Bank of Montreal. Please proceed with your question.
Ken Zaslow: Hey. Good evening, everybody. Is everybody on? Hello?
Operator: Hello, Bruce?
Bruce Wacha: Yes.
Operator: Yes. If you would like, we can still continue, if you would like, but…
Bruce Wacha: Sure.
Operator: … we have lost those that were in the queue.
Unidentified Company Representative: Maybe you can just re-prompt?
David Wenner: Yeah.
Operator: Sure. [Operator Instructions] All right. So our next question is from Ken Zaslow from Bank of Montreal. Please proceed with your question.
Ken Zaslow: Hey. Good evening, everyone. Glad to be back.
Bruce Wacha: Ken, thanks for your patience. Appreciate it.
Ken Zaslow: All right. Let me ask you on this capacity, are you guys building capacity, what constraints will be eased by when, and yeah, if you don’t mind answering that.
David Wenner: Well, I don’t want to get real specific, because I really don’t need my competitors understanding where I have a lot of issues. But, yes, we are building capacity on some things and the capacity will come on this summer, so some there’s some significant CapEx that’s being spent to add capacity on a few of the product lines that we have. Some will come on sooner than that, especially in seasonings, but it will take a few months to get some of these manufacturing lines running.
Bruce Wacha: Ken, for the most part this isn’t like a lack of capacity to sell things. It’s a not unlimited capacity to sell unlimited demand. But sales could have been bigger if we had more capacity. But at the end of the day, we have got to manufacture the products that we are selling and that’s just where kind of in certain categories maxed out.
David Wenner: Yeah. We have done any number of things to keep in supply through 2020, including pulling some product lines back into our facilities to make them in our facilities, because co-packers were unable to make them. And one of the big issues we had in 2020 was that it seemed like our co-packers were hit very hard by COVID and lost a lot of capacity, just because they didn’t have the bodies to run the run the factories.
Ken Zaslow: Okay. I was a little confused about the pricing versus commodities, will EBITDA growth faster or slower than sales, if you don’t have to promote and you are just being able to hold the price, hold the commodities under control with where they are. Would you -- would that mean that your EBITDA would actually grow faster than your sales, is that what you are implying or you are implying because there is no marketing -- there is no promotional spending?
David Wenner: That’s a good question. Something like Green Giant shelf-stable is a good example where we are limiting the sales because of the allocation and but even with that allocation sales w will be up modestly from 2019 and all things being equal, you would hope those sales would be more profitable because you are not promoting them and we have taken a price increase. So yeah, EBITDA in that case would grow faster than the sales would grow. Now in other cases, there is a trade-off when you don’t promote in terms of volume. So we don’t know what the dynamic will be. We do expect demand to ebb some but we don’t know how much and to what extent pulling back trade will compound that we don’t know. So that’s -- it’s not an easy answer and it really is a brand-by-brand answer.
Ken Zaslow: Okay. All right. I will take that offline. And then my last question is, what have you learned from the last pricing increases in Crisco versus its competitor over the last five year to seven years, because it almost always seemed like when one of the competitors took pricing, the other one didn’t and then they ratcheted it back and it was almost like gamesmanship versus now you are in a situation that obviously vegetable oil is not going anywhere but north. So, are you confident that your competitor will take it and little behold, you won’t lose your market share and that eventually consumers will have to just pay full price for this? How did you -- how do you think about this, because it seems like we are in a unusual environment with a path that was maybe not that well between two competitors? I am just confused as well.
David Wenner: Yeah. Well, one of the things about pricing in the oil part of the category is that private label is a big factor in the whole thing, private label is about half of the sales. So your price differential to private label is almost more important than it is to your competitors. Because this is a category where people promote all the time and as I learn more about the category and look at all the pricing customer by customer, it really is the Wild West in terms of what’s going on with pricing and promotion and all of that. Smucker hadn’t done a price increase in quite a while. And when they did it and I am thinking that was about four years or five years ago, nobody followed. So that was a big misstep and they had to accommodate that with trade promotion and things like that. We would hope that everybody has to buy the same commodity. Now they may have hedged better or not, but you would think people would increase price to accommodate the very high commodity prices you are seeing now. But we will have to wait and see how that plays out and we will have to adjust trade promotion accordingly to accommodate what’s going on with price. So it’s new territory, very different scenario than it has been in this category in a while and we are going to find out what happens here.
Ken Zaslow: And what about elasticity?
David Wenner: Well, that’s the question. I mean, if everybody follows you then you are fine. If not and again what I think I have noted is that your price differential to private label as more of an elasticity effect than anything else. So it’s a question does private label raise price, if all the brands raise price, you would argue private label was crazy not to raise price, but I don’t know.
Ken Zaslow: Okay. Fair enough. I appreciate it.
Bruce Wacha: Thanks, Zen.
David Wenner: Okay.
Operator: And our next question is from David Palmer with Evercore ISI. Please proceed with your question.
David Palmer: Thanks. Good evening. Hey…
Bruce Wacha: Hi.
David Palmer: Just -- hey, Bruce and Dave. Just sort of a long-term question strategic question first, looking back in history, Dave, you had a great career of doing bolt-ons sub-$100 million oftentimes that were -- that kept that steady free cash flow growth. Free cash flow conversion was also fairly steady at greater than 100%? And we have seen -- and you had a front row seat for this being on the Board, some deals that have and businesses that have caused more gyrations in your free cash flow characteristics, some of which that have been at times misunderstood by the markets? And people have freaked out certainly at times about your dividend obligations and your flexibility in terms of your free cash flow? Looking back on that and thinking about the post-COVID realities, what lessons did you learn from those deals? What sort of businesses are you going to be seeking out and how do you maybe get it smoother in terms of that free cash flow conversion and delivery?
David Wenner: The formula hasn’t changed, it just hasn’t been followed sometime. I guess is the way to put it. You need to buy brands that have higher margins and higher margins imply that it’s not a commodity for business and it’s somewhat defensible business if you will and a branded business that have relatively low working capital needs, relatively low CapEx needs that come at a reasonable multiple that have ideally the asset treatment from a tax point of view. So you have sheltered your income in the brand. All of those things put together -- and Crisco fits that model, Clabber Girl fits that model. All of those things put together really generate the cash flow efficiency coming out of EBITDA. So if you review our acquisitions, you can probably find some people -- some brands that we have acquired that don’t fit that profile and I think we learned a lesson from that. And yes, I totally agree with you that the claim to fame for B&G Foods over the years was doing these great accretive acquisitions that gave you smooth operating results that people could have faith that B&G is going to follow this game plan and they are going to deliver a year after year and I think we had the reputation for doing that and the goal is, okay, we are going to keep doing -- we are going to keep back on that plan and keep doing that.
David Palmer: Thanks for that. And just two small ones, the Crisco, the guidance originally when you did that deal or announced the deal was $270 million in sales and $65 million to $70 million in EBITDA in ‘21, is that still your thinking? And then I will just squeeze in the second one, COVID-related costs, you said, was $13.5 million in 2020, do you think you can be half that in ‘21 and I will stop there.
David Wenner: Yeah. I think we will be below half that COVID cost in ‘21. I mean we are praying that the states get their act together enough to vaccinate our workers soon and that would help tremendously in terms of controlling cost. Obviously, the safety of the workers is first until that happens.
Bruce Wacha: And then one piece in there is, we had COVID costs for three quarters of 2020, so...
David Wenner: Yeah. We don’t anticipate. I mean hopefully sometime early in the second quarter vaccine gets to the manufacturing facilities and we can -- we have a whole bunch of people dying to take their masks off, but I don’t know that we are going to get there. But it will be a lot safer environment with a lot of people vaccinated. As far as Crisco goes, it’s going to be challenging to maintain the margins in Crisco, given where the commodities are right now and that again is all about pricing and trade and competition. So we certainly aspire to delivering those numbers. If anything, I would say, that we are hopeful that the sales number will be higher and the EBITDA margin might not be as high, but it might deliver the same EBITDA on the bottomline.
David Palmer: Got it. Thank you.
Operator: And our next question is from Karru Martinson with Jefferies. Please proceed with your question.
Karru Martinson: Good evening. Just wanted to touch on the limited new launches that you had in 2021 and then kind of get a sense of what the schedule is for launches in 2022?
Bruce Wacha: Well, the schedule is dependent on retailers. We are queued up, teed up and ready to go. But we have to have retailers willing to do resets and take on the products. And that’s really -- we are in the starting gate waiting for all of that to start happening. The one thing I would say is we love to slot new things in the fourth quarter, because you don’t get a return on your investment. But hopefully, we get some room to maneuver here before that with the retailers. But we are at the mercy of the retailer resets and so far there hasn’t been a huge amount of activity there.
Karru Martinson: And generally speaking, what is the feedback that you are getting from the retailers, I mean, most of them grocers have seen as they we are still going to have elevated consumption. But certainly like you said there is going to be those weeks in March that were just not going to replace. I mean is there a point where we take a breather here and you get those resets? Have they communicated anything to you all?
David Wenner: No. I mean, I haven’t heard anything specific from retailers about win. Yeah, I guess from a retailer point of view, the saving grace for them in terms of sales in March and April and into May maybe that their shelves were bare. I can still remember walking into Walmart and seeing literally isles with nothing on the shelves. So if they get in stock they may have a better shot at matching their consumption sales out of and maybe that will benefit our sales.
Karru Martinson: Yes. And then just once Crisco is fully integrated into your platform, where do you see the next M&A challenges? You talked about some of the characteristics -- I mean opportunities, you talked about some of the characteristics. But do you want to continue to expand the baking category or shall we be looking more toward frozen. What are the pillars that B&G wants to build?
David Wenner: Well, I think, you like to do what you do and then in terms of the infrastructure efficiencies if you can find things that fit. So frozen is fine. But whether it would be frozen, whether it would be seasonings, whether it would be meal solutions or baking, it has to be a brand that fits the M&A formula that we have had over the years. I think the difference -- one of the differences we have and one of the advantages we have is that we are willing to take on brands that are in the other owner -- in the owners’ portfolio flat or maybe even declining a little bit. If we see the prospect for growth, which we do in Crisco, I mean there is holes in distribution in Crisco that are pretty significant. So it’ -- that gives us an advantage in terms of not having to compete with a lot of large cap companies that really are not going to take on a for them smallish brand that isn’t in the growth profile. And we think we have an advantage over the private equity guys and all that, because we have the established infrastructure and can layer things on cost effectively. So but it’s all about the brand. It’s all about the product and they are having the right financial profile to fit into what we do. But we like seasonings. We like meal solutions. We like baking and with the right brand, we like frozen. We have infrastructure in all of those.
Bruce Wacha: And the other part obviously is you need a willing seller. And so there’s got to be assets out there that people want to sell and we are hopeful coming out of COVID, maybe people will look differently and start to divest some of their cash flow brands that people have been rumored to be interested in doing, but we got to see what’s out there.
David Wenner: Frankly, after doing this for 17 years or watching it be done for 17 years, I am not really worried about having assets come up for sale. There has been -- there have been a few times where there was a pause for a year and at the worst two years. But by and large, I have lost track of how many acquisitions we have done. But it’s not an acquisition desert out there.
Karru Martinson: Thank you very much guys. Appreciate it.
Operator: And we have reached the end of the question-and-answer session. And again, I do apologize for the technical difficulties. I will now turn the call over to Dave Wenner for any closing remarks.
David Wenner: Hey. Thank you, Operator. I appreciate everyone joining us on the call and I appreciate your questions. That helps us clarify what we believe is happening in our business and we are very excited about how the business has started 2021. We definitely have some hurdles here in the next couple of months in terms of the sales that we did in 2020. But we do believe that we will be solidly ahead of 2019 sales and hopefully we can offset the cost pressures we see and turn in another great performance. So, again, thank you very much.
Operator: This concludes today’ conference and you may disconnect your lines at this time. Thank you for your…
David Wenner: Thank you.